Operator: Good morning, everyone, and welcome to The CMS Energy 2019 First Quarter Results. The earnings news release issued earlier today and the presentation used in this webcast are available on CMS Energy's website in the Investor Relations section. This call is being recorded. After the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. [Operator Instructions]. Just a reminder, there will be a rebroadcast of this conference call today beginning at 12 PM Eastern Time running through May 2. This presentation is also being webcast and is available on CMS Energy's website in the Investor Relations section. At this time, I would like to turn the call over to Mr. Sri Maddipati, Vice President of Treasury and Investor Relations. Please go ahead.
Sri Maddipati: Thanks, Rocco. Good morning, everyone, and thank you for joining us today. With me are Patti Poppe, President and Chief Executive Officer; and Rejji Hayes, Executive Vice President and Chief Financial Officer. This presentation contains forward-looking statements, which are subject to risks and uncertainties. Please refer to our SEC filings for more information regarding the risks and other factors that could cause our actual results to differ materially. This presentation also includes non-GAAP measures. Reconciliations of these measures to the most directly comparable GAAP measures are included in the Appendix and posted on our website. Now, I'll turn the call over to Patti.
Patti Poppe: Thanks, Sri. Thanks everyone for joining us for our first quarter earnings call. Now, this morning, I will share our first quarter financial and operating results and review our regulatory calendar. Rejji will add more details on our financial results and outlook and as always we will close with Q&A. Despite two large storms, and an unprecedented Polar Vortex, which challenged our electric and gas systems, we were able to deliver solid first quarter earnings of $0.75 per share which are better than our plan. Regardless of changing weather, economy, political or regulatory conditions, we pride ourselves in our adaptability which enables the delivery of consistent financial results on which you come to rely year after year after year. We're pleased to reaffirm our full-year guidance of 6% to 8% EPS growth based on last year's actual results and are biased towards the mid. We're also reaffirming our plans to grow dividends in line with earnings. Our predictability is enabled by our focus and commitment to our triple bottom-line of people, planet, and process, underpinned by financial and operating performance which remains a low risk and sustainable business approach and it continues to deliver for our customers and our investors. Every dollar of our capital plan is invested with the triple bottom-line in mind and we've seen solid support for this thought process over the years but most recently with the settlement of our gas and electric rate cases as well as our integrated resource plan. Our continued focus on needed investments in the safety and reliability of our gas and electric systems and our approach for the cleaner generation fleet with the modular build out of renewable energy has been reinforced by these positive regulatory outcomes. The settlement agreement of the integrated resource plan is a great example of how we work with all stakeholders at Michigan. We're excited to report that our clean energy plan reflected in our IRP received a broad coalition of support including the public service commission staff, Attorney General, our Customer Advocacy Groups, and environmental advocates. Considering the complexity of this case, the parties involved, and the long-term planning of our generation systems this was no easy seek which is why I'm so proud of all the work our team has put into creating a breakthrough outcomes for our company, our customers, and our state. The settlement lays the groundwork for our clean and lean energy future and includes the early retirement of our coal unit Karn 1&2 and the scheduled expiration of our Palisades PPA. The agreement also calls for accelerated energy efficiency, demand response program, and a 1,100 megawatt to solar through 2024 of which half will be owned in rate base and the other half will be contracted with a financial compensation mechanism. The settlement also includes competitive bidding for future solar so we can have the lowest cost and cleanest energy to the People of Michigan. Longer-term the plan calls for a total of 6,000 megawatt to solar and looks at battery storage in the next decade. The modular and low-risk approach coupled with the iterative nature of the IRP filing process provides flexibility and will allow us to take advantage of declining cost and potential technology breakthroughs. We expect the commission decision on the settlement by mid-June. Looking at our calendar for the year, you'll see another successful quarter on the regulatory front. This included the approval of 525 megawatts of wind in our renewable energy plan, a final settlement agreement for our IRP, and the Commission order in our electric rate case settlement and where we've agreed to stay out of an electric rate case until 2020. This quarter was just another demonstration of the strength in our regulatory environment in Michigan. While we're on top of recent regulatory developments, we'd like to take this opportunity to congratulate Dan Scripps in his recent appointment to the commission. We really look forward to working with Commissioner Scripps moving forward. Our gas rate case is also moving along. The staff having filed their position earlier this month for an additional $146 million of revenue with support for nearly all of the investments and the O&M we have requested. We'll continue to work with the staff and stakeholders in this case and expect the final order from the commission by September 30th. With the continued support of the MPSC staff, and other stakeholders, our electric rate case settlement allows for increased investment in electric reliability of $200 million. The case was completed in just eight months after filing and marked only the second time in our history where we settled an electric rate case. The settlement also included deferred accounting for emergent work which enables us to better plan and manage our electric distribution related capital investment. One of those reliability projects was a circuit upgrade outside of Grand Rapids. As part of that project, we needed to disconnect a customer for a few hours during the week. It was the home of an elderly couple and the husband had voiced their concerns to one of our co-workers. His wife was sick and he was worried about keeping her comfortable while the power was out. One of our field leaders Jimmy Brady reached out to the customer to understand his concerns better. What Jimmy found was that they just needed somewhere warm to stay during this planned outage. Jimmy purchased gift cards for gas and dinner and took the extra step to put the gift card in a get well card and delivered it to the customer, so he could care for his wife. Now I make calls to customers every week to get direct sense of what they're experiencing with our team. And I heard this story for the first time on one of those calls. Our customer was so touched by Jimmy's kindness as he shared this story with me, he broke down in tears. He was overwhelmed because he had been working so hard to care for his wife and Jimmy's simple act of kindness hit the spot. And by the way, we completed the maintenance work on time too continuing to improve our customer's reliability. We don't have a procedure 42 backed dash fee that told Jimmy how to live our purpose. We just have people serving people that is world-class performance delivering home comfort. Another great example of our purpose at work is our simple but perhaps unique business model. Now this is not new and it has lots of runway. At the core of our business model is our ability to self-fund the majority of our needed no big backed capital investments. These needed capital investments are demonstrated by the settlements of our recent gas and electric cases and the approval of our renewable energy plan with 525 megawatts of new wind, the settlement agreement for IRP which includes 1,100 megawatts of solar in the near-term, and staff support for the capital investments in our pending gas rate case. In fact less than 15% of projects in our $11 billion capital plan are over $200 million and half of those are renewable projects that have already been approved. While we continue to grow rate case, we remain focused on customer affordability. One of our key strength is our ability to manage costs. And while we continue to focus on waste elimination across all of our cost drivers by executing the CE Way, we also see significant cost reduction opportunities as we retire coal and allow high priced PPAs higher over time. Rejji will cover some of that in more detail. Sales enable us to manage customer prices as our economic development efforts allow us to spread our costs over greater volume. In addition to this, our energy efficiency programs help our customers reduce their usage and ultimately lower their bill. We earned $34 million through our energy efficiency incentive in 2018 and we forecast it going to $44 million as we implement our IRP energy waste reduction plans. We're also able to true-up our sales through our forward-looking rate making process. Finally, we've put a tax planning and modest contributions from our non-utility businesses further support our ability to deliver consistent premier growth. In fact despite investing $11 billion of capital into our system over the next five years, we expect customer prices to remain flat after inflation. Our model has proven durable over the last decade and we're confident in continued durability over the next. This simple model and our ability to adapt to changing conditions enables us to continuously deliver regardless of whether the economy or other external factors. Just look at our track. 10 years of 7-plus-percent EPS growth. We provide consistent premium results supported by strong operations. With that, I'll turn the call over to Rejji.
Rejji Hayes: Thank you, Patti, and good morning everyone. As Patti highlighted, we're pleased to report our first quarter results for 2019. We're just slightly ahead of plan despite severe weather experienced during the quarter. We delivered net income of $213 million which translates into earnings per share of $0.75 per quarter. Our first quarter earnings per share for 2019 were $0.11 lower Q1 2018 results largely due to heavy ice storms experienced in our electric service territory in February. Like always, we plan conservatively manage the work and continue to be ahead of plan. Despite the storm activity, utility was the key driver of our financial performance in Q1 contributing $0.80 per share largely due to our electric rate case settlement and relatively cold winter in Michigan which benefited our gas volumetric sales [indiscernible]. The Utility strong performance was modestly offset by expected underperformance in enterprises versus Q1 of 2018 with lower capacity sales at DIG contributable to the residual effects of the 2018 MISO planning resource auction, and a planned outage of our Filer City plan, both of which were reflected in our full-year EPS guidance. All-in, we started 2019 right on track and we are confident in our ability to deliver another year of consistent industry-leading financial performance. On Slide 12, you can see the key factors impacting our financial performance relative to 2018 in our waterfall chart. Favorable weather provided $0.08 per share positive variance versus Q1 of 2018 and rate relief net of investments contributed another $0.03. These sources of financial upside more than offset by the substantial storm activity which negatively impacts earnings by $0.10 a share, the aforementioned underperformance in enterprises and the higher effective tax rate. The latter two of which in line with our expectations and as mentioned are already incorporated in our full-year estimates. As we look ahead to the remainder of 2019, and encouraged by the glide path to give our full-year 2019 EPS guidance. As illustrated in the chart, the absence of favorable weather pass-through is largely offset by the numerous cost pull-aheads we executed in the second half of 2018. The remaining nine months also included additional rate relief net of investments in the previously settled gas and electric rate cases and the expectation of a constructive outcome in our pending gas case. Lastly, we expect to realize cost savings across the organization in line with historical trends, enterprise's EPS contribution weighted toward the second half of the year. Needless to say, we'll continue to manage the business with a focus on executing our capital plan and identifying additional cost savings, mitigate future risk of plan, the benefit for customers and investors. To that end Slide 13 best illustrates our historical track record of managing the work during periods of uncertainty to meet our operational and financial objectives. As noted in the past, the periods of unfavorable weather or other sources of downside we rely on our ability to reflect operating and non-operating levers to meet our financial objectives without compromising customer service. Conversely during strong period, we focus on reinvestment in the business to derisk future years and achieve longer-term benefits for customers and investors. Every year is different but we manage to deliver for all stakeholders year in and year out not excuses based on our ability to adapt to changing circumstances in any given year by self-funding the vast majority of our rate-based growth over the long-term to minimize the cost bill impact as Patti discussed earlier. To elaborate on the core elements of our business model, we have an extensive inventory of capital investment projects in utility into our large and aging electric gas systems as noted on Slide 14. As we highlighted on our Q4 call in January and our five-year capital investment program is approximately $11 billion and is largely comprised of gas and electric infrastructure upgrades and investments in multiple generation. The latter of which was supported by the Commission's recent approval by 525 megawatts of one generation investment to meet the 15% renewable portfolio standard emission. Our robust capital plan will further improve the safety and reliability of our electric and gas systems and benefit customers of all of our generation portfolio to benefit of the plan and extend the runway for EPS growth benefit of investors. It is also worth noting that our capital investment needs remain significant beyond five-year period as well. As we work through regulatory proceedings most notably the IRP, and our financial planning cycle, we expect that longer-term capital mix will continue to evolve and we look forward to providing you an update to our 10-year capital plan in the second half of the year. As discussed in the past, we invest in our electric and gas systems at a measured pace given customer affordability constraints in order to execute on capital investments of this magnitude, while maintaining affordable bills, our funding strategy is heavily reliant on the identification of cost reduction opportunities and we are confident that we can continue to deliver in this regard. Historically we have emphasized our substantial focus on reducing operating and maintenance expenses. And we have been successful there in the past to coal plant retirements, capital enabled savings like our smart meter installations, and attrition management to name a few. We'll continue to realize cost savings and O&M through those historical measures as well as waste eliminations required by the CE Way amongst other initiatives. However we do not discriminate when it comes to cost savings and we view every component of our cost structure as an opportunity. As we look ahead, there were highly visible cost reduction opportunities in our power supply cost through the expiration of the Palisades and MCB power purchase agreements both priced on average around $55 to $60 per megawatt hour for roughly two times the market cost of power and license which collectively should deliver approximately $150 million of savings per year over time. In the interim, we will continue to realize benefits modernizing our gas and electric distribution systems through reduced service respiration, gas leak repair costs among other opportunities. These opportunities coupled with our perpetual search for non-operating cost savings offer sustainable funding strategy for our capital plan which will keep customer bills low on an absolute basis and relative to other household staples in Michigan as depicted in the chart. From our perspective paying roughly $5 a day combined for safe and reliable electric and gas delivery in the residential home is an extraordinary value proposition. The importance this service to today's standard of living and the substantial costs required to own and operate these things. In addition to our emphasis on strong cost controls, our self-funding strategy also benefits economic development. Slide 16 highlights our success to attract new industrial activity in our service territory over the past two years which has supplemented modest organic growth in our residential and commercial segments. 2018 we expected over 100 megawatts new load which is up from 69 megawatts in 2017. And we're targeting another 100 megawatts in 2019 and are right on track with over 25 megawatts in Q1. Our load growth from these efforts will collectively offer roughly 5,500 jobs, $2 billion of investment in Michigan, and included companies ranging Internet-based retailers, food manufacturers among other industries. This level of secular diversity in our new load is indicative of our electric service territory which represents about two-thirds of our revenue is often misperceived as highly cyclical. In fact in 2018 approximately 2% of our customer contributions came from the Auto as noted in the pie chart on the right hand side of the page. Our proactive efforts on the economic development and a strong track record of realizing cost savings to fund our growth not only enable us to perpetuate our successful long run but also derisk our financial plan in the short-term and the overachievement in the year. And overachievement has become a habit which is a nice segway to our 2019 financing plan. On Slide 17, you'll see that our financing plans with larger derisk for 2019 via opportunistic transactions in 2018 and year-to-date. In the first quarter, we completed just under $1 billion of debt financing to parent including a $630 million six-year hybrid issuance which garners up to 50% equity credit in S&P at an attractive rate 5.875% pre-tax. We've also completed roughly $250 million toward equity issuance through our ATM program over the past 12 months which eliminates pricing risk for planned equity issuance needs through 2020. As we evaluate potential sources of volatility through the remainder of the year, the accelerated execution of the majority of our financing plan, the early settlement of our electric rate case, and the aforementioned 2018 pull ahead, that reduce the probability of large variances in our plan. There will always be sources of volatility in this business be the weather, low cost, regulatory outfits, or otherwise. In every year we view it as our mandate to do the worrying for you and mitigate the risk component. And with that, turn it back to Patti for some closing remarks before Q&A.
Patti Poppe: Thanks, Rejji. With our unique self-funding model, enhanced by the CE Way, a large and aging system in need of capital investments, a constructive regulatory framework, and a healthy balance sheet to fund our plan cost effectively, we believe our financial performance is sustainable over the long-term. With that, Rocco, please open the lines for Q&A.
Operator: Thank you very much, Patti. The question-and-answer session will be conducted electronically. [Operator Instructions]. And today's first question comes from Greg Gordon of Evercore ISI. Please go ahead.
Greg Gordon: So I mean I think it goes without saying because you've been very clear but you had a very rare modest miss versus Street consensus in the quarter because you had such a extraordinary storm activity. But given your historic ability to manage the business, you don't have any concerns about being able to bring in the earnings expectation as you articulated for the year just because the first quarter was challenging correct?
Patti Poppe: That's correct, Greg. We always adapt, and as we mentioned, we're ahead of our own plan, and so we're very confident in our ability to continue to deliver as always.
Greg Gordon: Thanks. And then I'm sure there'll be a lot of questions on the regulatory activity. So I'll leave that for other people. I had a sort of an esoteric question on the DTE call yesterday, you talked about why they don't have and I don't think you guys have either a large amount of lithium ion battery storage built into your expectations for future infrastructure needs and they pointed to the fact that because you guys have the Ludington storage facility and it's such a large and unique asset that it really creates the balancing capacity you need so that battery storage may not other than in very unique circumstances necessarily be a big part of Michigan's future needs. Is that a fair assessment or not?
Patti Poppe: Well first of all, yes, Ludington is storage and it's 2,200 megawatts of storage. So yes we love that. In fact, as you've been there, Greg, I know you visited the site. We have six of the world's largest motors at that location six 500,000 horsepower motors. It is a sight to be seen. So anyone who hasn't been there, open invitation. But yes, so obviously we have a lot of experience actually pricing in storage on a daily basis. What we're waiting for and I think we do see more storage and in fact in our IRP, we have storage towards the latter half of the plan. What we're waiting for is the price curve. And I'm very confident that price curve will materialize. And with all the research that's underway with lithium ion for vehicles today, but maybe there will be a breakthrough in solid state. I look forward to that. I think storage is going to be important on the grid to balance voltage and do voltage control for our solar installations that are going to be distributed across the state. So we are hopeful for storage and a technological breakthrough in that but we don't need it to execute our IRP plan until the last part of the 20-year plan.
Rejji Hayes: Greg, the only point I would add is in addition to Ludington, as you likely know, we also have peaking capacity in the form of our Karn 3&4 facilities which is over a gigawatt. So that also supports us as we flush out the renewable plant.
Operator: And our next question today comes from Jonathan Arnold of Deutsche Bank. Please go ahead.
Jonathan Arnold: Good morning guys. Yes, just had a question on enterprises and that segment came in at nothing for the first quarter and you said it's going to be more weighted to the second half. Is that really going to be mostly a Q3 segment now with the shift to more of an energy contract, so is it more sort of linear through the second half. Can you just give us a bit more sense on the timing there?
Rejji Hayes: Yes, I would say it's certainly more backend weighted and I would say it's more weighted towards Q3 and Q4, you'll get a little bit of pickup in Q2 but mostly Q3 and Q4. And the reason why that is, Jonathan, is we had lower capacity sales and that had to do with the fact that we had to basically sell about 400 megawatts of capacity at dig in the planning reserve auction in MISO in mid-2018. And as you know the planning year runs from basically May of the prior year to June of the subsequent year and so we've got about two quarters of exposure in 2019 of those lower capacity sales. And the reason why, as you may recall, we had to subject ourselves MISO planning reserve auction is that we held 400 megawatts of capacity in escrow effectively at gas part of the potential Palisades early termination in 2017. And so we'll wear that for a couple of quarters. It's in our plan and so we would expect that that would recover over time, we've already sold through capacity through 2020. And so we feel pick up some in Q2 but most of it in Q3 and Q4.
Jonathan Arnold: And so by extension then Q1 of next year should prove to be more positive than Q1 of this year?
Rejji Hayes: Yes, you would think because again we've sold capacity through 2020 around $2 to $3 per kilowatt month. And so we would expect to get a more favorable comp in Q1 of 2020 certainly versus Q1 of 2019.
Jonathan Arnold: Okay, great. And then just one other sort of item you talked about expecting energy efficiency earnings to increase from $34 million to $44 million or so and as you implement the IRP. What's the timing on getting to that higher level, is it -- it's not for a year or two or was it sooner than that?
Patti Poppe: Yes, Jonathan, great question. We're going to phase it and we're going from 1.5% in our electric business energy efficiency to 2% and it's when we get to that 2% that it takes it to $44 million and that'll be mid-2020.
Jonathan Arnold: Mid-2020, okay great. That's it, thank you.
Rejji Hayes: Thank you.
Operator: And our next question today comes from Michael Weinstein of Crédit Suisse. Please go ahead.
Michael Weinstein: Hey question on the financial compensation mechanism. So I realize that I guess there's a continuing talks about this, but at 5.88% that's above short-term debt but the long probably below the overall cost of capital, weighted cost capital for the company. I'm just wondering if this is -- this 5.88% that was settled this is like kind of an opening bid like if things go well later on people might be more amenable to raising that number as long as the markets seem okay with it, the solar markets seem okay with it.
Rejji Hayes: Michael, it's good question. So just to be clear the 5.88% that does reflect our WACC or weighted average cost of capital and that was what was agreed to in the settlement. And so we think that's the appropriate level for an FCM particularly given the fact that we'll be able to own and rate base effectively half of the solar investment opportunity over the next few years. And so the 1,100 megawatts that we agreed to effectively through 2024 will get 550 megawatts of that. And then, as you know, the filing and the IRP itself is an iterative process per the statute. And so we've agreed put a settlement to file again in June of 2021, so we'll see what the fact pattern is at that point. Obviously cost of capital moves all the time and so it makes sense to adjust it at that point and suggest something else we'll look to do that at that point.
Patti Poppe: To be clear, we're really excited about that FCM it gives us optionality in the best way to have the lowest cost energy, delivery, and supply. We're very happy with the outcome of the IRP. We think it really reflects our values and we think it reflects our business model and it just allows our business model of ample CapEx backed up by our ability to do it at the lowest cost to protect customers from affordability constraints. It really fits right into our plan.
Michael Weinstein: Right. Could you I mean could you characterize kind of what the discussions are surrounding at this point over the next month or two? What are the solar advocates want out of this process at this point?
Patti Poppe: Well to be clear there's a range of solar advocates. We had the Sierra Club, the NRDC sign on to our settlement and certainly their solar advocates. I guess I would consider as solar advocates. We all agree that solar has an important role to play here in Michigan matches our load profile extremely well and combined with things like Ludington and Karn, as Rejji mentioned, we've got a really nice mix of supply. So the conversation has been how to do that at the lowest cost possible. And we feel very excited about the competitive bidding process for the supply resources. We think that's an important stand to take on behalf of the people of Michigan that we want to make sure we have the lowest cost resources on the system and have optionality around the CapEx surrounds that, so that we can invest the next best dollar where it needs to be invested in the entire system. I would say some of the large out-of-state kind of profit maximizing solar developers don't love the outcome because they're going to have to compete on price and not lean on PREPA. And that PREPA loophole doesn't work. And it saddles the Michigan customers with unnecessary high priced solar. And so I would suggest that our commitment to competitive bidding really change the nature of the discussion here in Michigan that we're going to stand for the lowest cost and cleanest energy resources for the people that we serve.
Operator: And our next question today comes from Julien Dumoulin-Smith of Bank of America. Please go ahead.
Julien Dumoulin-Smith: So perhaps just to reconcile this, I mean just at a high-level, the IRP obviously you've got just about over a gig of potential opportunity here split between rate base and PPA. How does that reconcile with your current CapEx budget at the end of the day? And then maybe a second but related question is how do you think about updating the needs for generation over time here. What would that timeline look like and how could that reconcile against what you all have here in the IRP today? And I know that's somewhat of a transient question, right. It'll change over time.
Rejji Hayes: Yes. So, Julien, good question. I would say as it pertains to the five year plan, we don't see a great deal of, I will say, capital investment impact in our five year plan. So, as you know, we're at about just over a $11 billion most of which is wires and pipes capital investment, we've got $1 billion of renewables in our plan but that's largely attributable to wind build out basically to get to the 15% RPS. And so a lot of the capital investment opportunity that's coming out of this settlement agreement is really beyond this five-year plan. So you'll see some of it. We'll take ownership of some of it kind of in the 2022, 2023 period but not a great deal. It's also worth noting that you're going to have Karn 1&2 in the outer years of our plan come out, if we succeed in retiring that plant in 2023 as promised. And so when you think about the puts and takes, you'll see probably a net neutral impact, I'd say in the next five to six years now. The bigger opportunity going forward is, as you look, at the incremental five gigawatts that will build out over the next decade plus I think in year's six to 10 of a potential 10 year plan, you'll see more significant capital investments on the solar side. And so there could be upside there and again we've talked about in the back half of this year offering a new 10-year plan which likely reflects some of that. And then if you think about the capacity build out, I'll say a couple of decades from now in our capacity plan, we're going to be losing over time about four gigawatts of capacity. So you're going to see two gigawatts come out in the form of the MCV and Palisades PPAs and then another two gigawatts come off over the next 20 years retire -- as we retire the coal fleet and so substantial capital investment opportunity on the solar side over time. And we think that offers potentially around $3 billion of capital investment opportunities to think about the spend on the capital side through 2030. So quite a bit of opportunity but early days of course.
Patti Poppe: I would also offer that the capital opportunities on our entire system are not -- we don't require all of our investment to go into supply. It's not; I would say the investment mix of the past. The opportunity to have distributed resources is going to require a significant amount of grid investment as well to make sure that we can integrate those distributed resources into the grid and make sure that our reliability is high. So the mix between distribution and supply is going to shift to distribution as well as in our gas system. And so when I talk about looking for the next best place to put a capital dollar, everyone can remember and always remember that this is not a question of building up rate base. This is a question of how best to affordably deliver the capital that delivers the customer value and customer service, the reliability; all of those things are driven by how much capital is required in the system. So the system needs are driving the CapEx. We're not trying to backfill CapEx and searching for CapEx and using supply as a means of doing that. We're trying to figure out the best way to deliver the services for customers with all the CapEx that needs to be done and to be able to do that affordably.
Julien Dumoulin-Smith: Got it, excellent. And just to clarify this, I know you have got billion-ish in the plan today for renewables. When you talk down the materiality of 2022, 2023 solar, it's more because it's something of a rounding within the wider plan contemplated?
Rejji Hayes: Yes, that's -- that's right. So you basically in the outer years of plan, you'll start to take ownership of some of that 550 megawatts. But again as we always talk about the constraint on our capital is really affordability and so we think based on the five-year plan, we rolled on our Q4 call that little over $11 billion of aggregate capital investment is what our customers can comfortably afford as well as our balance sheet I might add. And so the composition of that capital investment program may change a touch as we look at the outer years of the plan. But I would say for now it's primarily wires and pipes. Again you may get additional solar but we think $11 billion is right at this point in time.
Operator: And today's next question comes from Stephen Byrd of Morgan Stanley. Please go ahead.
Stephen Byrd: Wanted to go back to everyone's favorite topic, the financial compensation mechanism really interesting and really innovative approach. I guess the mechanics that ultimately got used here is a bit different than what you had proposed but it strikes me that the result is broadly in line with the approach that you had initially proposed, is that a fair characterization?
Patti Poppe: That's a fair characterization. At the end of the day, we wanted to first of all be toward agnostic around who builds and who owns these assets. We wanted to make sure that we had the proper alignment that we have the lowest cost supply resources on the system. And so conceptually, what we're talking about is making sure that the reflection on our balance sheet of our being this high quality off-taker for any kind of contract there's no way a developer gets that contract or the financing approved without us being the off-taker that that's reflected and there's an impact on our balance sheet at least the way S&P calculates. And so conceptually that's what the FCM is intended to represent. And so we're very happy with this outcome. We think it's a new standard and it really gives us a position to advocate for customers fully.
Stephen Byrd: That makes sense. And then my next question is really longer-term when you think about renewables in your discussion with the variety of parties in the state, this concept of basically splitting ownership versus PPA a 50/50 split beyond the 1,100 megawatts in there kind of near to medium-term. Is that an approach you think that has buy in, in the longer run within the state?
Patti Poppe: Well it is and it worked for the 2008 Energy Law as we filed subsequent IRPs. We could revisit it. We actually didn't go in asking for the opportunity that our original filing did not include an opportunity for us to be guaranteed, the right to own. But through the discussions and that's what's healthy about a settlement process you can have really in-depth discussions with the parties to come to a conclusion that everyone really can live with. And so the settlement process has served, I think the people of Michigan very well in this scenario and certainly you, our investors, are equally well served through the outcome of this IRP.
Operator: And our next question today comes from Praful Mehta of Citigroup. Please go ahead.
Praful Mehta: Hi, so maybe just firstly on the quarter on the storm cost, this is something we've seen across the space where companies have utilities have had challenges with storm costs. What is the threshold we should be thinking about as it relates to CMS in terms of what size storms are recoverable, what size storms are not. And how does this, how do you see this going forward as an impact to your earnings?
Rejji Hayes: Yes, it’s a good question, Praful. So recoverable, I will go about that in a couple of ways. So there's recoverable in the form of what's in rates and then there's recoverable in the form of we do have transmission and distribution insurance which also offers a little bit of risk mitigation. And so in terms of what's in rates, the amount of storms that we realized over the course of Q1 is already in excess of what's currently incorporated in rates. And so we do plan conservatively and so in our budget we did assume that there would be service restoration needs in excess of what's in rates. And then as you think about the insurance programs we have in place then it's a function of the deductibles you have and whether a particular storm exceeds that deductibles. And that's what allows you to get recovery and so as you may recall, when had the significant storm activity in March of 2017, we actually got quite a bit of claims back our way because of the level deductible at that point. And admittedly deductibles have gone up a bit. And so I would say that you need a pretty substantial storm activity to get insurance recovery but we did get some recovery of the storms we saw in early February in the Grand Rapids area. Is that helpful?
Praful Mehta: Yes, that's super helpful color. Appreciate that. And maybe for the second question, you guys talked about the runway of the plan where the cost management clearly is something that you guys have executed successfully and one important part of that is PPAs ruling off. I guess as these PPAs do roll off, do you see limited scope going beyond that or do you see this horizon of the ability to kind of manage costs and keep rates low while you build out on CapEx even beyond that PPA roll off?
Patti Poppe: Praful, the cost savings as far as I can see and it's certainly the PPAs, I like to call those are well -- I call them our cash for clunkers because those PPAs are out of market. They're high priced and when we replace those with fuel free energy, it really is an amazing combination to grow earnings while we're reducing costs for customers. So certainly we've got in the five-year plan ample cost savings but beyond that our abilities that we are creating to our consumers energy way to see and eliminate waste on demand are still in their early stages. I'm just watching the team really develop the skills to see and eliminate waste that reduces the human struggle for our co-workers as they're attempting to serve customers and at the same time reduces costs and improves the customer experience. And so rest assured there is our simple, unique business model has lots of runway. This model lives; we've got ample CapEx, lots of costs yet to be reduced. And then that just protects our customers from affordability constraints and enables positive regulatory outcomes and improves service to customers every single day. So rest easy the model live.
Praful Mehta: Great story guys. Really appreciate it. Thank you.
Patti Poppe: Thanks Praful.
Rejji Hayes: Thank you.
Operator: And our next question comes from Andrew Weisel of Scotia Howard Weil. Please go ahead.
Andrew Weisel: Hey good morning everyone. Just another question on the SCM, the WACC I believe is as you previously discussed a little bit. It's relatively low as 5.88% but I believe that's because of the deferred taxes in your capital structure right. So can you remind us what percent of the cap structure is deferred taxes and over how many years you expect to work that down to zero?
Rejji Hayes: Yes. So you're right, Andrew, and so the 5.88% WACC that we agreed to as part of the financial compensation mechanism that is on an after-tax basis, it does take into account what I'll call about 20% or just under that of deferred federal income taxes that are a component of a rate making capital structure. I can't tell you exactly when that will amortize down to zero. But I can say directionally if you think about the glide path for refunding customers effectively, the deferred income taxes that we collected over the last several years as part of normalization and then also as part of the settlement for unprotected assets and liabilities at some point will be returned to customers. I would say you'd have a gradual somewhere between $35 million to $45 million reduction in that deferred federal income tax component of a rate making capital structure over the next several years. So probably 35 to 45 years depending on the asset class, electric amortizes a little faster because it has a shorter useful life than the gas assets. And so my sense is about 35 to 45 years that ticks down.
Andrew Weisel: I certainly hope to not following your stock when that happens.
Rejji Hayes: As you like.
Andrew Weisel: You previously said you don't expect the cash taxpayer payer until 2023. Is that still the case given the solar plants?
Rejji Hayes: That's right. And I would just qualify it a little bit. We expect it to be about a partial cash taxpayer at that point and more closely to a fully -- a full cash taxpayer by about 2024.
Andrew Weisel: Okay, great. Then lastly, what do you think about, I know the plan for the next three years is just solar and beyond that you talked about solar and batteries. What would it take for your wind to become a part of that plan going forward?
Patti Poppe: Well we do have 525 megawatts of additional wind that we're going to be adding to achieve our renewable portfolio standard in the near-term so that's underway. What we see about wind is it's getting harder and harder to site. And so as we did the analysis for the long-term, distributed solar really matches the load curve here in Michigan combined with we do have 1,200 megawatts of base load gas plus the Ludington pump storage. We have our base load power really available. And so solar because it's distributed, because it's modular, because we can build it fast, and because that cost curve is occurring so fast that we really do see that combined with the current one we have the 525 additional megawatts of wind is the right mix.
Operator: And our next question today comes from David Fishman of Goldman Sachs. Please go ahead.
David Fishman: Just following on I think with Stephen's IRP question, is there an expectation or goal that when you re-file in 2021 or at some other point for the larger six to 10-year option you said that CMS can show effectively that utility owned renewables is more economic than some of the third-parties prices that you expect to see or you haven't seen as a result may be easier in the future to get a guarantee higher than 50% for owning?
Patti Poppe: I think I would say that because of the way the law was written and then we do these ongoing filings, it does mean the plan is adaptable and can change over time. If we do demonstrate that we're the most cost effective then I think that will be compelling. What I would suggest is that being able to build 50% is a really great position to be in and being able to then deploy our capital elsewhere in other parts of our system that are in high demand really works for our model because again I can't overemphasize the amount of capital that the system demands relative to customers ability to pay and the balance sheet to be able to afford, it's a constant internal battle for where the next best capital dollar is. And so having some optionality on the supply side actually really works for us especially with the SCM. It really is a great mix for us in our opinion and as we do future filings of course the plan can adapt and change as conditions change and that's really the secret, one of the secrets I would say at CMS. There's no big bet strategy. Modular, adaptable, changing conditions, whether it's weather or politics or the economy this is what's special about us. We adapt to those changing conditions because we can because we don't have big bets. As I mentioned only 15% of our $11 billion CapEx plan are projects over $200 million and half of those are preapproved renewable projects. So the fact that our plan has so much flexibility in it going forward is part of our strength and part of the secret that we can continue to deliver year after year after year that premium growth six to eight reliably.
David Fishman: Okay. Thank you for the very thorough explanation. So that makes sense helps to provide you a good bit of balance and flexibility. One small follow-up just more a housekeeping item. I think there was a small outage for TS Filer because it's no longer going to be repowered. I was just wondering does that spill over at all into the second quarter.
Rejji Hayes: There may be a touch of it spills in the second quarter but I wouldn't say it's a material amount. And it's also important to note that Filer yes, it's a contributor to enterprises performance but it's not a significant contributor, dig really dictates the vast majority of the financial performance of enterprises.
David Fishman: Right. Okay. I think as I said before the dig, you all have one more quarter of material headwind that should kind of go back to being the bilateral market second half?
Rejji Hayes: That's right. Given just the timing of the planning year versus the calendar year.
Operator: And our next question comes from Shahriar Pourreza of Guggenheim Partners. Please go ahead. Hello Shahriar your line is open, perhaps you're muted.
Constantine Lednev: Oh sorry about that. It’s actually Constantine for Shahriar here. Yes, I was on mute. A lot of great disclosure and a lot of the questions have been answered. One kind of high-level on the IRP and the 6,000 kind of megawatts of long-term solar. Are you thinking about kind of a timing or a shape to how I guess the point I know you talked about the 1,100 megawatts are being a little bit more tailwind in the five-year plan. But beyond that kind of how linear is deployment?
Patti Poppe: Yes, it's ahead of the retirements because obviously we don't want to wait for the retirement date and then start to build the solar, so we front feet, I would say the plan and then it spreads across the time horizon up to the point that our last coal unit Campbell 3 retires. And so it really is a relatively smooth across the 20-year time horizon. But just again as conditions change, load materializes more or less that's the strength of this plan that it's modular and we can adapt.
Operator: And ladies and gentlemen, this concludes question-and-answer session. I would like to turn the conference back over to Patti Poppe for any closing remarks.
Patti Poppe: Thanks, Rocco, and thanks everyone for joining us this morning and we certainly look forward to seeing you all out on the road.
Operator: Thank you. This concludes today's conference. We thank everyone for their participation. Have a great day.